Operator: Thank you for standing by. This is the conference operator. Welcome to the IGM Financial Third Quarter 2025 Analyst Call and Webcast. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Kyle Martens, Senior Vice President, Corporate Development and Investor Relations. Please go ahead.
Kyle Martens: Thank you, Betsy. Good morning, everyone, and thank you for joining us. On the call today, we have James O'Sullivan, President and CEO, IGM Financial; Damon Murchison, President and CEO of IG Wealth Management; Luke Gould, President and CEO of Mackenzie Investments; and Keith Potter, Executive Vice President and CFO of IGM Financial. Before we get started, I would like to draw your attention to our cautions concerning forward-looking statements on Slide 3 of the presentation. Slides 4 and 5 summarize non-IFRS financial measures and other financial measures used within this presentation. On Slide 7, we provide a list of documents that are available on our website related to IGM Financial's third quarter results. That will take us to Slide 9, where I'll turn it over to James.
James O'Sullivan: All right. Good morning, everyone, and thank you for joining us today. We're pleased to report another record quarter across many dimensions of our businesses, including an all-time high adjusted EPS of $1.27. Most importantly, the outstanding third quarter demonstrates strength and continued momentum in our core businesses, IG Wealth and Mackenzie Investments. Last quarter, we noted an important inflection point in Mackenzie's retail adviser channel. That momentum continued in the third quarter, alongside continued strength in the institutional and partnership channels, positioning Mackenzie, I think, for sustained growth. IG Wealth's leadership in delivering best-in-class advice to mass affluent and high net worth clients continues to be a powerful growth engine, driving record assets and reinforcing our position as a premier wealth management firm in Canada. IG and Mackenzie combined achieved $2.4 billion in net inflows during the quarter and delivered year-over-year earnings growth of 24% and 15%, respectively. Complementing the strong performance in our core businesses, our strategic investments delivered continued growth and demonstrated value for IGM's shareholders. We have spoken in the past about narrowing the gap between trading price and net asset value by highlighting and demonstrating progress in our strategic investments. The Rockefeller transaction underscores its strong growth and adds new long-term investors further strengthening the ownership base. Importantly, IGM will remain Rockefeller's second largest shareholder when the deal closes later this year and the only strategic in the capital stack. After doubling client assets in just over a year, Wealthsimple's financing round marked another key milestone for the firm as they continue their focus on developing and launching innovative solutions for the benefit of their clients. IGM continues to be the largest shareholder of Wealthsimple, pro forma the financing round. Each of these investments remain strategically important to IGM. We're naturally very pleased to share these developments that showcase the significant value and strategic optionality embedded within our Wealth Management segment. Looking forward, we are in a very strong position financially and look forward to returning increasing amounts of capital to our shareholders in 2026. Now moving to Slide 10 and the current operating backdrop. Markets have continued to be strong, driving IGM client returns of over 6% during the quarter. Resilient markets have continued to support investor confidence, helping drive another quarter of positive industry flows. At the same time, we're mindful that markets can correct at any time and we keep a keen eye on differentials between the financial economy and the real economy. Periods of volatility remain probable over the near and medium terms. Slide 11 provides a snapshot of the strong double-digit earnings growth across all of our segments, which Keith will address later in the call. Finally, on Slide 12, you'll see the double-digit asset growth across each of our businesses that contributed to IGM's record assets under management and advisement. I'll now turn the call over to Damon.
Damon Murchison: Thank you, James, and good morning, everyone. Turn to Slide 14 in Wealth Management's third quarter highlights, including IG Wealth, Rockefeller and Wealthsimple. Riding on the momentum IG has built, the third quarter continued to deliver record results. We ended the quarter with record AUM&A of $156 billion, up 14% versus Q3 of last year, supported by record Q3 gross inflows and sales of $3.8 billion and $3.9 billion, respectively. Total net flows for the quarter were $426 million and represented our fifth consecutive quarter of positive net flows. IG Wealth continues to be a new client acquisition machine, delivering record Q3 new client gross inflows of $1.2 billion with 71% of these inflows coming from mass affluent and high net worth clients. During the month of October, the momentum continued with our highest gross inflows on record and strong net inflows of $276 million. Also during the quarter, the Investment Executive 2025 dealer report card was published. And once again, IG was ranked as an industry leader. I'll speak more to this and to the demonstrated strength of both Rockefeller and Wealthsimple on the upcoming slides. Moving to Slide 15. This shows the continued momentum that this business has built. On the left, you can see in all 3 periods that we are at record levels for gross inflows, which is in turn driving our strong net flows. The graph on the right illustrates the ability of our advisers to work with their clients to dollar cost average into long-term IG solutions. Turning to Slide 16. You can see our operating results, which continue to provide great insight into the strength of this business. I'll note our third-party AUA growth is driven by our ability to acquire new clients as we continue to drive new mass affluent high net worth client acquisition we expect to see similar growth in this category. Everything on this slide continues to point in the right direction, illustrating our growth and our adviser's ability to work with their clients to dollar average cost in from GIC's HISA balances and in short-term investments over time. Moving to Slide 17. Our gross inflows from newly acquired clients demonstrate the client acquisition machine that IG is today, and it's across all segments. Most notably, the newly acquired mass affluent high net worth clients. Turning to Slide 18. You can see the continued momentum in our mortgage and insurance businesses, both of which has delivered strong year-over-year growth. We continue to see strong growth prospects in our insurance business, while our advisers also see opportunity to engage their clients to win new mortgage business as their clients and mortgages come up for renewal. Now turning to Slide 19. I want to briefly focus on the strategic pillars that we spoke to at our last Investors Day, investing in the business, elevating the business and driving a best-in-class advice experience. The wealth drivers is focused on our investment on partnerships to support the advice that our clients demand and our prospects seek. We're enhancing our advisers' capabilities through these partnerships, which in turn provides them a better line of sight to the client's full financial picture. At the same time, we're elevating our platforms and products by expanding our exposure to private assets, extending our growth in insurance and lending offerings as well as providing accounts to help our clients and their children save for their first home. These initiatives are driving our strategy, resulting in success in both our entrepreneurial and corporate channels. 36% of our new client gross inflows are coming from the high net worth segment while our corporate channel represents 7% of our AUM&A and 34% of our clients. Further validation of our success of our strategy is seen through the eyes of the industry's advisers. This year, IG continued a top ranking in the 2025 investment Executive Dealer Report Card, where we once again ranked first overall amongst our peers, improving our score year-over-year and placing first in 15 categories. Now turning to Slide 20. I'll update you on Rockefeller's program. Client assets were up 25% year-over-year, supported by market inorganic and organic growth. Over the last 12 months, organic growth has driven $6.7 billion in client assets, while Rockefeller continued to add to their private advisory network with 60 new advisers being added over the last 12 months. Now moving to Slide 21. This slide illustrates Wealthsimple's momentous upward trajectory. At our 2023 Investor Day, Wealthsimple set a target of $100 billion in AUA by the end of 2028. During the third quarter, they achieved this, ending the quarter with $100.8 billion, up a remarkable 94% over last year and setting a new all-time record high with $16.3 billion in AUA growth during the third quarter. Wealthsimple has increased their clients served by 15% year-over-year, ending the quarter with over 3 million clients. With that, I'll now turn the call over to Luke Gould.
Luke Gould: Great. Thanks, Damon. Good morning, everyone. Turn to Page 23, you'll see highlights for Mackenzie and for Asset Management for the quarter. This was a quarter of very strong momentum across a number of dimensions. It was a good quarter for clients with investment returns of 6%, and we ended the quarter with record-high assets of just under $240 billion, up 6.6% in the quarter as a result of both investment returns and net sales of $2 billion in the quarter. This net sales result was up meaningfully from last year with momentum across channels. Investment fund net sales, you can see on the top right, of $407 million improved by $700 million from last year driven largely from improvements in retail. Retail net sales of $7 million are up $510 million from last year, with strong momentum in quant and active equity ETFs in particular. We're pleased to see a lot of the momentum with products launched during the last 36 months. We also onboarded $1.6 billion from 3 institutional clients as we disclosed last quarter. Two of these clients were large foreign public pensions and wealth funds and the third was a large Canadian pension. We have another $400 million award funding in Q4 and a very good near-term pipeline. Few weeks ago, we received the results of the 2025 adviser perception study for each of mutual funds and ETFs. Results were broadly stable on the mutual fund study and we maintain rank of second on sales penetration across channels, brand equity and overall score relative to large peers. We experienced noteworthy improvements on the ETF study with our overall score increasing to 7.9 from 7.1. Rank is tied for third versus our score of eighth last year. We're pleased to see this momentum on the ETF study given our activity in broadening our ETF suite around active and better beta mandates. We continue to be very busy on the product launch side for retail. We've launched 11 new products in the third and fourth quarter of this year, and we launched 12 products in the first half of the year across mutual fund ETF and offering memorandum vehicles. These launches include this quarter, our fifth private markets fund the Mackenzie Northleaf multi-asset fund. We've also launched 4 better beta ETFs in the quarter as well as expanding our value style offerings and providing our U.S. alpha extension mandate in ETF form. And at the bottom, you can see both ChinaAMC and Northleaf continue to generate good growth. ChinaAMC's investment funds were up 30% from last year and 7% during the quarter, supported by a robust rebound in Chinese markets, where equity markets were up 19% in Q3. And Northleaf continues to have strong fundraising of $5.2 billion over the last year and $1.5 billion during the quarter. Turning to Page 24. You can see the trend and the history of Mackenzie's investment fund net sales on the left, you can see that this is our best invested funded sales across all 3 periods since 2021, with meaningful improvements from 2024 as highlighted earlier, a majority of the momentum in Q3 investment fund net sales was driven by retail, and you can see this improvement on the chart on the right. I'd also remind on the left that we don't publish ETF gross purchase and disposition activity due to data challenges, but we estimate that retail gross purchase activity include ETFs was up about 50% year-over-year. On the right, overall, we're positive and improving our last 12-month trailing basis. And you can see ending the year that retail is trending towards positive territory as well on a last 12-month basis. We've also added a note on the right that we disclosed on our October results. Investment fund net sales were $235 million, a very good result and a meaningful improvement over 2025 and this excludes the $950 million net purchase of our passive ETFs by an institutional client who made allocations to Mackenzie within their managed solutions. Turning to Page 25 at the top right. You can see our net sales segmented between retail and institutional and by delivery vehicle. We've circled the improvement within our retail investment funds with notable increases in both the mutual fund and ETF structure. You can also see the $1.55 billion onboarded institutional awards during the quarter. And at the bottom left, you can see our last 12-month trailing net sales rate has been closing ground relative to mutual fund industry peer group. Turn to Page 26, you can see our performance and net sales for our retail mutual funds and ETFs by boutique. Across the slides looking near the top of the slide, you can see compelling performance relative to peers across multiple boutiques. Towards the middle, you'll see our global quantitative equity boutique has exceptional relative performance across the 3 time periods where this team managed the money. And you can see the strong growing net sales for this team. I'd also highlight that we have strong performance and net sales or net sales improvement within a number of other boutiques, including our resources team, our Greenchip team, global equity and income and the multi-asset strategy team. Turn to page 27, we've added a slide to give an update on our private market funds for retail investors with -- in our partnership with Northleaf. You can see at the top that we are on a mission to bring private asset classes, what we call the missing middle to Canadian households. We've been working hard to remove every impediment to Canadian households having a proper allocation to these asset classes. This has included education and promotion, helping with the adviser accreditation ensuring products are eligible for registered plan and ensuring that the products are scaled. The existing products, you can see on the left are achieving scale and have increased sales momentum. In October, as mentioned, we introduced the Mackenzie's Northleaf Multi-Asset Private Markets Fund. This is a single ticket that brings private equity, private credit and infrastructure together and provides a very nice complement to an existing 60-40 portfolio. The underlying products, you can see have delivered excellent track record since launch, and we provide a graphic in the middle of the slides to convey the missing middle concept. We've seeded our new multi-asset product with $100 million from our other managed solutions and we are looking very forward to promoting in the market. We've also in the bottom right, highlighted that we held our first private market Summit in London, England at the end of May. We're very proud of the strength of this event in terms of both the quality of the content and speakers as well as the engagement with the -- a lot of the investments that are held in the portfolio and the investee companies. Turning to Page 28. A few comments on the Chinese investment fund industry. On the left, you can see the industry grew by 6% in the quarter, driven primarily by strong equity markets. In the bottom left, you can see the net sales trend and wealth overall industry net sales were positive, including money market. Long-term funds were in slight net outflows with equity funds where clients took some of the gains with the recent upturn in the market. On the right, we're pleased with the continued strong performance of ChinaAMC relative to peers. And they continue to see market share gains, our long-term funds increasing to 6.7% of the industry, up from 6.4% last quarter and 6.3% last year. On Page 29, you can see the strong growth in ChinaAMC's AUM. The company is very proud to have reached an important milestone of RMB 3 trillion this quarter, so close to following its previous RMB 2 trillion milestone just 6 quarters ago. You can see that investment fund assets were up 7% in the quarter and 30% over the last year. And on Page 30, you can see another very strong quarter of fundraising at Northleaf with $1.5 billion in fundraising in the quarter and $5.2 billion over the last 12 months. Fundraising was strong across private equity, private credit and infrastructure, particularly -- in particular, as they closed their products they had to market. And I also want to recognize just a few days ago, we celebrated the 5-year anniversary of our partnership with Northleaf. I just want to say we're very pleased with the progress. We're very proud of this team, and we're very excited about the future. I'll now turn the call over to Keith Potter.
Keith Potter: Thank you, Luke, and good morning, everyone. On Slide 32, you can see key highlights for Q3. Adjusted EPS, which excludes Lifeco's other items, was $1.27, up over 23% year-over-year and a record high. These strong results were diversified and driven by our core businesses and contribution from our strategic investments. We returned $183 million to shareholders in the quarter, including approximately $51 million in share repurchases. We have repurchased 3.6 million shares to the end of September, and we'll continue to be active repurchasing shares through the remainder of the year. In line with past quarters, we are also strengthening our financial profile by steadily lowering leverage and cash dividend payout ratio while maintaining financial flexibility with unallocated capital growing to approximately $700 million. Finally, as previously announced in October, we have reported a $1.4 billion increase or approximately $6 per IGM share in the value of Rockefeller and Wealthsimple combined details of the Rockefeller transaction are yet to be finalized, and we will update you on the Q4 call in February. Turning to Slide 33. You can see our AUM&A and flows on a year-to-year basis. Strong equity markets during the quarter supported ending an average asset growth with both up approximately 6.5% since Q2. In particular, we saw a robust growth in the Chinese equity markets with the CSI 300 up 19% during the third quarter, which was supportive of ChinaAMC's results. I'll speak to these in a few moments. On the left-hand side, similar to last quarter, it's worth noting that at the end of October, ending AUM&A is up approximately 5% from the Q3 average. And if markets remain stable, the increase in assets will a key driver for revenue growth in Q4. Turning to Slide 34, point 1 and point 2 helped to illustrate the diversified drivers of our 23% year-over-year growth in adjusted EPS on point on a year-to-date basis, our combined operations and support and business development expenses are up 4.1% from last year, and we are maintaining guidance of 4% for the full year, and we look forward to providing our 2026 expense guidance on the February call. On Slide 35, we present the key profitability drivers for IG Wealth Management. I'll highlight a few points. On the left side, you can see that average AUM&A was up 6.6% and on the right, as a reminder, the advisory fee rate includes advisory fees charged on AUA as well as interest earned on client cash on deposits. During the quarter, our advisory fee rate dropped 1.4 basis points primarily driven by clients moving up wealth bands with average AUA increasing 6.6% in the quarter, and secondly, by a decrease in client cash balances as adviser works with their clients to invest in long-term solutions. As I mentioned at the end of October, our AUM&A is up approximately 5% from the Q3 average and assuming markets hold. We do expect to have an approximate 1 basis point impact on the advisory fee rate in the fourth quarter this client to move up wealth bands and expect moderately lower cash balances. And for context, similar to last quarter, these types of returns and impact are more in line with what you'd expect in 1 year versus 1 quarter. Finally, the asset-based compensation rate was flat quarter-over-quarter. And as we look to the next quarter, we would remind that the rate is typically higher in Q4 due to year-end seasonal programs. On Slide 36, IG's overall earnings of $155.3 million in Q3 or up 23.7% year-over-year. On point 2, our financial planning revenue to be supported by strong mortgage and insurance performance. And on point 3, IG operations and support of this development expenses were $164 million in line with last quarter and up approximately 4.1% year-over-year. Moving to Slide 37. We have Mackenzie's AUM by client and product type as well as net revenue rates. On the left, you can see average AUM was up almost 6% versus Q2 and on the right, third-party rate, excluding Canada Life decreased primarily due to onboarding of $1.6 billion in institutional assets as we guided during the Q2 call. As we look forward to Q4 with the full quarter of the additional institutional assets and additional institutional ETF flows of $950 million during October, we expect to see this rate come down approximately 1.5 basis points in Q4. Turning to Slide 38. Mackenzie's earnings were $68.2 million, up 14.8% year-over-year and on point 2, operations and support and business development expenses were $120 million, up 4.3% year-over-year and 1.6% sequentially. Slide 39 has ChinaAMC's results. As I spoke to a few moments ago, the Chinese equity markets performed very well during the quarter, which supported investment fund AUM growth. And on the right can see ChinaAMC's strong earnings of $46.1 million that benefited from seed capital gains driven by strong equity returns. Adjusting for the fair value gains, Q3 results were relatively in line with the last few quarters. And as we look to the next quarter, I'd remind that the fourth quarter is traditionally a seasonally elevated expenses, and we do expect to see earnings contribution from the company, somewhere in the range of where we've seen over the past 3 quarters, excluding the impact of any significant market movement. Slide 40 has earnings contribution from companies in each segment. I'll make a couple of comments here. First, Rockefeller earnings turned positive during the quarter, in line with our expectations. And as we look to the fourth quarter, we'd expect continued progress toward improved profitability, excluding any transaction-related expenses with the recent announcement. And as I mentioned, we will provide more details on the transaction during our February call. For Northleaf, during our Q2 call, we guided to earnings for the next few quarters of approximately $5 million. Q3 came in lower due to seasonality of some expenses, accrual true-ups and a few onetime items. I do expect quarterly earnings over the next few quarters of approximately $5 million on average. But to remind there is some variation in earnings from quarter-to-quarter. A few points on Slide 41. We have updated the indicative values for Rockefeller and Wealthsimple. The total value of both investments represent approximately $16 per share. It's worth noting that neither contribute meaningfully to IGM earnings but do contribute significant value. On Northleaf, we increased the carrying value by $33 million net of NCI for the earnout, which reflects continued strong fundraising. Also worth highlighting, we did receive a $7 million dividend from Northleaf this quarter. And finally, at the bottom right of the slide, you can see that strategic investments and unallocated capital have an indicative value of $8.3 billion in aggregate, which represents $35 per share value. Slide 42 demonstrates continued execution against our capital allocation priorities. We continue to return capital to shareholders and strengthen our financial flexibility. In addition to paying a quarterly dividend and repurchasing shares, we continue to have a reduced gross leverage, now just over 1.4x. And we've also included debt net of unallocated capital, and you can see both measures present the same directional story. Our cash dividend payout ratio is now at 59% and is down from 62% last quarter. And finally, at the end of the quarter, our unallocated capital grew to approximately $700 million. That concludes my remarks, and I'll turn it over for questions.
Operator: [Operator Instructions] The first question today comes from Jamie Gloyn with NBC.
Jaeme Gloyn: Congrats, the business seems to really be humming on all facets. And so with that, and obviously, some strategic investments doing well, core business doing well. We have unallocated capital continuing to rise. James, is it something you're discussing with the Board now where maybe a shift in mindset around M&A. Over the last couple of years, focus has been on organic growth. But is that something that's entering discussions now? And then if not, should we maybe expect to see maybe a more accelerated buyback than just sort of like the 2% of shares we've seen over the last little bit here.
James O'Sullivan: Sure. thanks for the question. I don't expect any meaningful change in our posture towards M&A. We have the business that we want. We're proud of the construction of this business now with 2 divisions, 6 businesses, 3 in each. We believe, James, that we're built for growth, built for diversification. And I think we're starting to show that. So as I look forward to 2026, I think thematically, 2026 is going to be about returning capital to shareholders. If there was a single theme to think about as we head into the year, that's what I'm thinking about. How do we return capital to shareholders. And of course, we've got, as you point out, high levels of unallocated capital. We've got and we've had strong growth in client assets, strong growth in earnings. So I think we're in a position to look very fully at that question. At both the kind of buyback, how big a buyback do we do? What do we do with the dividend? -- everything's on the table, and we will be taking a capital plan to our Board in February.
Jaeme Gloyn: Okay. Great. And then as I think about the strategic investments and what you could do there, a little bit more of an investment in Wealthsimple. But is there -- what's the discussion with the parent around maybe where Wealthsimple fits best. Is there anything you can share from your discussions on that?
James O'Sullivan: It's a question that's out there, and it is something that Jeff -- or and I discussed from time to time. But I would not be anticipating any change, certainly in the foreseeable future as to where kind of well simple resides. It resides at Power, it resides within IGM. I think each of us are proud of our position and very happy with our position and so I'm not contemplating any change in the locale, if you will, of -- Wealthsimple. It's a great business and collectively, we control it and are very proud of their progress.
Jaeme Gloyn: Okay. Great. And my last one, maybe for Damon, nice tick-up in the Net Promoter Score. It's always good to see that. Can you maybe sort of detail or describe what's driving that? What are you seeing in shifts? And when do you expect to see flow through from that nice jump?
Damon Murchison: Yes. Thanks, Jim. I think that's an indication of how we are planning for our clients and the areas that we are really focusing on with them. And it goes back to the wealth drivers that we've talked about. We obviously do a great job investing their money and we make the money, build their wealth. But it's about retirement planning, it's about estate planning and generational wealth transfer. It's about those that have small businesses. Whether they need financing or they're ready versus succession plan. We help them there. We connect families together so that high net worth families can talk about their wealth openly and honestly. And we call that high net worth financial literacy. And then we're helping our clients create that want to give back and lead to what a better place and we help them create legacy plans while they're living. So all of that, combined with our ability to manage money and make the money leads to higher Net Promoter Scores. And it leads to obviously getting greater share of wallet and it leads to new client acquisition.
Operator: [Operator Instructions] The next question comes from Graham Ryding with TD Securities.
Graham Ryding: Maybe I can just start with Luke, starting to see some pretty solid institutional flows at Mackenzie, an improvement in your retail flows but still lagging what we're sort of seeing at IG Wealth in terms of flow rates and momentum. What are the sort of the products or maybe the strategic pieces needed to get Mackenzie flow sort of up to the next level on the retail side?
Luke Gould: Yes. Thanks, Graham. Good question. Going back to Page 24, like we're feeling we got all the ingredients and heading into 2026, we've got this momentum. You can see the trend if you extrapolate it. We're pleased with the success we're bringing on. And when you look at the suite we've got in retail to promote right now, we're kind of just getting started. Just with quant and active ETFs as a theme, we're pleased with what we brought in too, but the tip of the iceberg when you look at the broad categories that these products play in and just how compelling not only the investment process is but the demonstrated track record so as we're sitting here looking at our retail suite and the outlook for 2026, we're feeling very, very good.
Graham Ryding: And then if I could just jump to Wells, I think you said there's now $100 billion of assets at Wealthsimple. Can you give us a feel for how that mix looks across the different categories and distribution channels?
James O'Sullivan: Yes. Look, it's a fair question as the company goes from strength to strength and gets larger and larger. It remains a private company. And so at least at this point, we're not going to be adding to current disclosures. What I've said in the past, I'll say continues to be true. If you had to look at the composition of their assets or the composition of their flows, I think you'd be deeply impressed with the diversification across all of their businesses, including trading, invest, save, work, crypto. It remains a very well-diversified platform overall.
Graham Ryding: And the large ETF institutional flow that we saw in October, is that Wealthsimple related? Can you speak to that at all? And then just broadly, how much AUM is Mackenzie managing on behalf of Wealthsimple currently?
James O'Sullivan: Yes. Good question, James. So we generally don't disclose that clients when it comes to institutional flows. We do manage about $7 billion for Wealthsimple in our passive ETFs. So we are part of the fueling of their product offering. And we do have a private label suite that we manage for them. They are labeled wealth simply ETFs and Mackenzie has them under management. And we are very pleased, obviously, for the partnership we have with them.
Graham Ryding: And any private assets with Northleaf in that channel?
Luke Gould: We don't currently, but I know there's good discussions going on between Northleaf and Wealthsimple, and Northleaf would love to be on that platform.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kyle Martens for any closing remarks.
Kyle Martens: Thank you, Betsy. We'd once again like to thank everyone for joining us on the call this morning, and Betsy, I think with that, we can end today's conference call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.